Operator: [Abrupt Start] Before we begin, please take note of the cautionary statement. Statements made in this call are related to CCU future performance or financial results are forward-looking statements, which involve known and unknown risks and uncertainties that could cause actual performance or results to materially differ. These statements should be taken in conjunction with additional information about risk and uncertainty set forth in CCUs annual report in form 20-F filed with the US Securities and Exchange Commission and in the annual report submitted to the CMF and available on our website. It is now my pleasure to introduce Mr. Patricio Jottar.
Patricio Jottar: Thank you, Claudio and thank you all for joining us today. We are facing a challenging and volatile macroeconomic scenario. In this context, we need to focus on maintaining business scales and recover our margins. On the positive side in terms of business scale, despite of a decline in our consolidated volumes in the second quarter, considering a high comparison versus 2021, we reported double-digit growth when compared with pre-pandemic volumes, this is the second quarter of 2019. That's our business scale, scale remains strong through a constant improvement in brand equity and excellence in face execution. On the negative side, regarding margins, these were negatively impacted by strong external effects coming from higher price in commodities, a sharp depreciation in our main local currencies against the US dollar and higher inflation levels, impacting our costs and expenses, ultimately offset by price increases in all our categories and geographies. In summary, during the second semester, we will decisively continue with our revenue management efforts, along with efficiencies to recover our profitability sustained on a solid business scale. Regarding our consolidated results, our revenues expanded 18.8%, bolstered by 22.4% rise in average prices in Chilean pesos, while volumes contracted 2.9%. The better average price in Chilean pesos were mainly explained by revenue management initiatives and price increases. EBITDA weighed 32,4701 million Chilean pesos, down 47.3%, and EBITDA margin decrease from 13.1% to 5.8%. The weaker financial results were mainly associated with, one, high cost from raw and packaging materials, two, the depreciation of our main local currency against the US dollar impacting negatively our US dollar denominated costs, partially compensated with export revenues. And three, costs and expenses pressures associated with an accelerating inflation in our main geographies and higher oil prices. The price efforts mentioned above were definitely not enough to offset this external effects. Hence, the need to strengthen our revenue management initiatives in the coming quarters, resulting in net income will totalized a loss of 10,455 million Chilean pesos versus a gain of 18,968 million Chilean pesos last year, caused by the lower degree mentioned above and a higher loss in non-operating results, the latter mostly driven by higher net financial costs owing to a larger debt. In the Chile operating segment, our top line expanded 3.7%, due to 7.3% growth in average prices, while volumes declined 3.4%. The higher average prices were explained by revenue management initiatives, partially offset by a negative mix effect in the portfolio. Lower volumes were caused by a high comparison base and the less favorable consumption environment, gross profit contracted 19% mostly as a consequence of - as a consequence of cost pressures and a 17.6% devaluation of the Chilean peso against the US dollar affecting our US dollar denominated cost. MSD&A expenses grew 5% and as a percentage of net sales increased 43 basis points, where efficiencies helped us to offset expenses pressures coming from higher inflation and oil prices. In all, EBITDA reached 23,711 million Chilean pesos, decreasing 69.1%. In International Business Operating segment, which includes Argentina, Bolivia, Paraguay and Uruguay, net sales recorded a 70.9% rise as a result of an increase in average prices, while volumes contracted 1.7%. The better average prices were mostly explained the revenue management initiatives in all the geographies. In terms of our geographies, volumes in Argentina, Paraguay expanded versus pre-pandemic levels, while Uruguay was flat and Bolivia declined. Gross profit expanded 73.7%, MSD&A expenses as a percentage of net sales improved by 235 basis points, the deficiencies, compensating higher inflation and other cost pressures altogether. All together, EBITDA weighed 1,072 million Chilean pesos versus a loss of 2,223 million Chilean pesos last year. The Wine Operating segments revenues were up 16.7% explained by a 17.4% growth in average prices, while volumes decreased 0.5%. The higher price in Chilean pesos were mainly explained by a positive impact on export revenues from depreciation of a 1 trillion pesos versus the US dollar, revenue and mismanagement initiatives in Chile and Argentina domestic markets, which permitted us to partially compensate higher costs in packaging material and inflationary pressures. Consequently, gross profit expanded 13.6%, MSD&A expenses grew 17.9% and as a percentage net sales increased 26 basis points in all EBITDA with 11,788 million Chilean pesos, 9.1% rise. n terms of our main international joint ventures, in Colombia, volumes remained growing double digit in the second quarter, driven by beer and malt. In terms of financial results, our increase in business scale together with revenue management initiatives, allowed to improve last year profitability levels, in spite of cost pressures and the recent devaluation of the Colombian peso against the US dollar. In Argentina, our JV with Aguas Danone de Argentina S.A, showed strong top line growth, led by volumes and prices. Now I will be glad to answer any questions you may have. After repeating that, our main challenge during the second semester will be decided to continue with our revenue management efforts, along with efficiencies to recover our profitability sustained on a solid business scale.
Operator: [Operator Instructions] We will go ahead and pick the first question.
Fernando Olvera: Hey, good morning, everyone. This is Fernando Olvera of Bank of America. Thanks for taking my questions. I have two, both are related to Chile. On one side, can you comment what were the dynamics between consumption at home and away from home during the quarter? And how do you expect these two channels to behave ahead of a less favorable consumption environment? And my second question is related to beer. Can you talk about how the demand behaved between premium and non-premium brands also during the quarter and what is your expectations of this segments ahead? Thank you.
Patricio Jottar: Okay, thank you, Fernando, for your question. Look, on premise consumption in Q2 2019 which is before pandemic was 10.6%. And Q2 2022 was 6.2% after being zero in the middle of pandemic. So we have recuperated two thirds of volumes, more than the volume - two thirds of the proportion on total sales, we present to buy this channel and we expect to recover the remaining third, but very soon because things are moving to normality, this is regarding these. And regarding premium, before pandemic premium used to be 25% of our volumes in 2019. During 2021, this percentage damped a lot because of the enormous amount of money result from pension funds and the money - and the money from government sales and the government statements to consumers. So these figures on average, in 2021 was 40%, but beginning in 30%, at the beginning of the year in 2021, and ending more than 50%, almost 55% in December 2021, which is a lot. In q2 this figure is 43%. So we have declined from the top which was 53 or 55 in November, December ‘21 to 43 in Q2 2022.
Fernando Olvera: Great. And given that use tech [ph] led for low consumption environment, is it fair to assume that it should continue declining the proportion of Australian brands?
Patricio Jottar: Difficult to say, but do we expect this to happen. And this is particularly challenging for us because for many years, Fernando with inflation being 2% in Chile,2% to 3% we’re able not to increase nominal prices of beer and gaining momentum and improving our profitability by two elements. Number one, the increase in the proportion of premium on one hand and the increase in the per capita consumption on the other. So we're able to increase the scale and the profitability of our business without increasing nominal prices. Today this absolutely impossibly, we need to be precise and try to increase prices and in March, but was just not nice in July, again, but not going to be nice, because inflation is too high, cost pressures are too high. And because we are decreasing the proportion on premium in our portfolio. So as I mentioned, in my introduction, revenue management is going to be key in the coming months and we're focused on this.
Fernando Olvera: Great. Thank you so much.
Patricio Jottar: Thank you.
Operator: Thank you. And we'll go ahead and take the next question.
Unidentified Analyst: Hi, good morning. Its [indiscernible] from Credit Suisse. Thank you for the opportunity to ask questions. Here on my side I have two. And along the same lines with the previous questions. I was just wondering if you could comment on the consumption environment in Chile, given sales, consumers trading down and what's the outlook for the end of the year? And my second question is given the deceleration in volume across all the regions, does this change your pricing strategy going forward? And how do you see the competitive environment within this context? Thank you.
Patricio Jottar: Thank you, Fernanda, for your questions. I mean, the comparison against the second quarter of 2021, it's impossible because we grew our volumes by more than 30%, invest in that quarter. That is the reason why we are decreasing our consolidated volumes by 2.9% compared with that quarter. But again, when we compare the volumes of April 2022 with Q2 2019, which was the year previous pandemic, we have grown our consolidated volumes by 11.4% and double digits in [indiscernible] double digits in non-alcoholic in Chile, and consolidated base 11.4%, and accumulated ‘22 first half of the year compared with accumulated 2019. So as the first half of the year, we have grown our volumes by 16%, and beer in Chile non-alcoholic, until by more than - by more than 20%. We expect the trend for the future probably to be stable with equal levels of growth. It's difficult to know. But we think that 20232 volumes are not going to decrease, but they're not going to increase importantly. I would say that they will increase low single - single digit, we're just beginning our budgeting process. And we are preparing ourselves for a very low level of growth, even a stable volumes in 2023 compared with 2022. Even scenario like these revenue management initiatives, and deal with our expenses and decrease our expenses and be more efficient, is key. And all our efforts in the second half of the year are going to be in that direction. They're not going to be enough to save 2022 probably, but we are betting for much better 2023 in this. And regarding Wingardium [ph] competitive scenario is difficult, its difficult to know. But the cost pressures, inflation and devaluation is being faced by every player in the industry, so I could imagine that the competitive environment will move in that direction. But of course, we don't know because it's unpredictable.
Unidentified Analyst: Thank you so much.
Operator: Thank you. We'll take the next question.
Unidentified Analyst: Good afternoon, everyone. Thanks for hosting the call and for taking our questions. We also have two. Patricio I think previously in the first question, you mentioned that you placed two price hikes year to date, but this has not yet enough to cover fully or cost inflation, right. So I was just wondering, what is incremental pricing that would be needed in order to theorically offset set the ongoing cost inflation and what is your plan to attack this going forward throughout the second semester? This is the first question. And the second question is regarding efficiency, right. Obviously the transformation plan has yielded strong results over the previous quarters. But competition is high and the operating environment is a little bit challenging, right. So I just like to know what is the buffer for further efficiency to partially protect your margins going forward? And how this fits with your need to continue to invest in brand equity in order to protect your market share. Those are the questions. Thank you very much, guys.
Patricio Jottar: [Technical Difficulty]
Operator: And we did experience a brief interruption in the conference. Please remain on the line Thank you.
Patricio Jottar: It's okay?
Operator: Please resume. Thank you.
Patricio Jottar: Yes, the TRY [ph] made a complete answer to your question, but when I realize that…
Operator: The line…
Patricio Jottar: The line was not there. So we don't know, if you listened to the answer or if I go again to the answer.
Unidentified Analyst: Not at all, Patricio….
Patricio Jottar: Okay…
Unidentified Analyst: Based on my end, I didn’t hear, sorry.
Patricio Jottar: Perfect. I will go again, then. Thank you very much. As you as you mentioned, you're right, I said that we have made - during the year, in the year two prices include - two price increases, the first one was in March, April, and the second one in July. So the results of Q2 just incorporated the first price increase, but do not incorporate the second price increase as it happened in July. And your price. As I mentioned before, the two price increases are not enough to compensate the swift [ph] question we are having on inflation, cost of raw material inflation, devaluation, and will have to make more reading [ph] management initiatives. In the future, the amount on how much we should increase to fully compensate and recuperate the profitability in 2023, which is our goal, but, I cannot disclose this, but we are committed to move in that direction.
Unidentified Analyst: Go ahead.
Patricio Jottar: No, no, that's it. Are you there? Did you follow my answer?
Unidentified Analyst: Yes, yes, Patricio. I did. Just want one question, do you think there's a space in the short term for customers to absorb further pricing?
Patricio Jottar: I think, yes, because it's a phenomena which is happening in almost every category into and the case of beer probably was not fast enough as we should have been. We should have done, and within yes.
Unidentified Analyst: Clear, I am sorry for taking over guys. But I'm just not sure if you follow my final question. I had one regarding efficiency, and the role that it might play on profitability going forward? For sure we know that the transformation program we have in place has yielded strong results, right? I just wonder how much further room do you believe there is for efficiency and operating leverage to help you protect profitability, knowing that competition is catching up? And it will probably need to revamp marketing and investments into brand equity, right. So how does the equation feed? And how much efficient it could be another lever for you to protect profitability going forward?
Patricio Jottar: Okay. This is a very good question. Number one, I have mentioned it many times and I will repeat, we never reduce marketing expenses to improve our profitability because brand equity scheme in our business, to protect our market shares and to protect our business scales, and to protect our ability to increase prices, because without brand equity, you cannot sell volumes, nor prices in the market. And our brand equity indicators are getting maximum levels in Q2 2022. And we are very happy on this result, because it will give us a lot of confidence on the fact that we are moving in the right direction. That is number one. Number two, to keep scaling – screen our business. The reason why I've mentioned during this conference call the fact that our scale is there, because in this scale it's very difficult to keep efficiencies. Having said these two things, I will go directly to efficiency. So we have done many things, but everything we discover new opportunities to be more efficient. And we have this transformation few plan in place. We are placing the s objectives for 2023 and there's still room in many areas to be more efficient in sales and sales execution, definitely in our factory – factories, in leading logistics and distribution indeed. And we just implemented the same thing, replacing people soft in our operations and we're just categorizing these and we’ll bring a lot of efficiencies on the administrative side coming from this. Again, our business at the end of the day it's about brand equity, scale, ability to keep market shares, ability to have good prices and the ability to operate with a high level of efficiency. So those are the basics. In place that you should study, we are moving with a lot of determination in all these elements to recuperate profitability, because we feel uncomfortable on the profitability of Q2, definitely. And we expect to improve definitely profitability, particularly in 2023. I like to say to my team here in CCU, that it's possible to have a bad year. But we are never allowed to have two bad years in a row and putting all our efforts. And to have a good 2023. And again, we feel comfortable our ability to do this, particularly because the brand equity for our portfolios, the maximum levels in Q2, and we know what we need to do, and we are going to do this. Its great profitability.
Unidentified Analyst: That’s all. Thank you very much very clear, Patricio. Thank you.
Patricio Jottar: Thank you, Thiago.
Operator: And we'll take the next question.
Felipe Ucros: Hi, Patricio and team. Thanks for the space - for questions. This is our Felipe from Scotiabank. So I kind of a follow up on Thiago, because he took a little bit my question that I had, which was why you were a little late on pricing, because it was fairly evident that in Chile, you only have to carry over pricing. But you already mentioned that the increased prices from July. So let me follow up and ask about your competition because one of the concerns we've had is that under Gus [ph] hedge and you don't. So in theory, if they are hedged, they should be able to stay - stick a little longer with their current prices. So just wondering how you saw the competitive environment in July after you priced the video competition we work with you and how have you felt the consumer react to that?
Patricio Jottar: Extremely difficult to know Felipe. Look in March we increased the prices in Chile and competition took one month in some channels and two months in other channels to follow. And meanwhile, we lost a little bit of market share. Then after two months, they finally followed us. And then June, we will keep rate with the market share. We have to pay this much the biggest price increase, but in the meanwhile, we lost market share. With [indiscernible] prices last week, we don't know if they're going to follow or not, impossible to know probably. We're going to lose market share for a couple of months and it's very - finally follow as good. If not, we are determined to adjust prices because we need to do this to recuperate profitability in our business.
Felipe Ucros: That's well clear. Thanks a lot for that color. And let me follow up with another one on Argentina. You guys were not alone investors, about half of our coverage has operations in Argentina. And the numbers have been all over the place because of the difference between inflation and devaluation. So I'm just wondering if at certain point whether you explore to kind of separate Argentina, as a different bucket just so it doesn't. I guess somebody's up in the numbers in the rest of the international division. Do you guys ever contemplate something like that?
Patricio Jottar: Yes, I mean, you're right, Felipe. This has happened in Argentina many times in the last, I don't know, 20 years where inflation moves in one direction and they keep the money with the Argentine currency without devaluation. So you make a lot of money, but it's the kind of brackets artificial money and then they catch up with the exchange rate producing a huge evaluation and your results in US dollars deteriorates a lot, and then you catch up while inflation can send - you could adjust prices as then there have been our life in Argentina for many years, and it's a roller coaster of Argentinian descent and this in 2023 they evaluate more than inflation probably we're going to suffer in our results. I mean, that huge proportion of the resources international business comes from Argentina. So the international business in Argentina in terms of EBITDA and EBIT are not too different. But let's think if it makes sense to separate or not Felipe. I prefer not to give you an answer, not to give you an answer now. But again, if you consider the whole results of the international division, Argentina represents a huge proportion.
Felipe Ucros: Yeah. That's very clear. Thanks so much for the call. Maybe I'll do a last one on hedging. I think in our coverage, and I don't know if this applies to the rest of the analysts in the line, but I could hear the last company that doesn't have - the doesn't do raw materials and FX hedging. You know, it gives you less time I guess, to react, right? When you have very sudden moves, like the move you have the last quarter on that tracks, just the last two or three months actually. Do you ever contemplate maybe exploring, starting a hedging policy? Or is it something that the board has completely stretched out, and it's not even being considered?
Patricio Jottar: I mean, if – I don’t want to say obvious, I mean, you know that the raw material is going to increase its pricing, this would have - it's a good idea to share it. And if you know that raw material is going to decrease its price, it's a bad idea to hit happens up, you never know what's going to happen. And you hit long term, at the end of the day, you will be paying a high cost of raw material, because you will be paying the cost of raw material plus the margin implicit in the context to fit the price of raw materials. So long term to take is a bad idea, because you will finish paying a high cost of raw materials, but it do not take, you face more volatility. But you do not destroy, you do not destroy value. And at the end of the day, to fake bullet [ph] volatility and to feel the impact of a change in the cost of raw material immediately obliges you to move faster in taking the next - the next you are documenting your business to cope with this changing raw material. So it's not just a matter, it's not a matter of the board, it is the matter of report. So a matter of managing, you are completely convinced that it's not a good idea to quit, and we'll continue keeping these strategies.
Felipe Ucros: I'm just so desperate clear, that gives us a lot of color about how you guys are thinking about it. So thanks a lot for that. Appreciate it.
Patricio Jottar: Felipe, thank you.
Operator: Thank you. And we’ll go ahead and take the next question.
Unidentified Analyst: Hi, hello. This is Enrique [ph] BTG. Thanks for taking my questions. I also had two both of them in Chile. The first if you could just please give a little bit more details on the performance issues, performance in the beer and non-alcoholic categories during Q2 and how that builds up to the volumes that you delivered in the quarter, I think it would be very helpful. And the second in Chile in terms of your margin recovery during the second half of the year. Still a lot of moving parts but for Q3, I think that the effect is playing a little bit against quarter-on-quarter. But you have been improved I think commodity prices and also the price hikes that you did. So just thinking if it makes sense to think that Q2 should be our low point in margins in Chile. Meaning right, if Q3 it should already touchable some re-COVID. Thanks very much.
Patricio Jottar:  Thank you, Enrique for your questions. Look, I think that the best two way to do a percentage, how volumes in Q2 were in Chile, is to compare them with Q2,.2019. And if you need this comparison, beer in Chile was 11.5% higher and non-alcoholic 19% higher and if you take the whole semester for the first half of 2022 and you compare with the first half of 2020, 2019, excuse me, beer is still 20.8 better and non alcoholic 20.4. So we have increasing volumes in a very good way. And the last two years that because from 2019 to 2022, to have you know, three years and ’21 20%, 21% growth means 6% to 7% growth per year in the middle of this pandemic period, which is very good. So if you're comfortable on this, in an answer made before my question, maybe for excuse me, my answer was that regarding 2022, we expect the economy to little bit very weak. And we assume that volumes are not going to go are going to go very easy the target in 2022. Having this in mind, then if volumes comes, good news, but I prefer to back it assuming that volumes will not grow, and to grow the company to make money to have a profitable 2023 under this scenario. Regarding margins, its very difficult to say. But to say that I think that Q2 was at bottom and I expect to recuperate margin, definitely in the rest of the year, but particularly for 2023. We're putting all the focus of management on fully recuperate margins on 2023. Are we going to be able to do this? Yes or no. It's impossible to say, but this is our focus to recuperate. The good margins, we have the 2022 - in 2022.
Unidentified Analyst: That's very clear. Thanks very much.
Patricio Jottar: Thank you.
Operator: Thank you. We'll take another question.
Unidentified Analyst: Hi, everybody. Thanks for taking my questions. This is Lucas from JPMorgan. Wondering if you can discuss a little bit of your performance in theory in Chile in the different channels where you sell, so in particular, you're suffering in any specific channel. So on premise, a premise and then within the off premise, like probably you see like, sort of key accounts versus mum and pop's, so channels that have probably you have better profitability to filling more pain. So just wondering if you can give us some visibility on each of the channels in particular. And then just a follow up on the cost side, that you just mentioned that Q2 probably marks the bottom in terms of profitability. We've been seeing obviously the commodity prices falling in the exchanges, just wondering like, if realize when you beat for let's say barley, to already get out like lower prices? Or if it's just more of a - it's a financial reaction or sell off the exchanges. But how like the sellers are behaving are they already giving you lower prices for keep commodities [indiscernible] if you comment on these trends? Thank you very much.
Patricio Jottar: Thank you, Lucas for your two questions. I will answer the first question and then I will ask Felipe Dubernet to go to the second question. Regarding channels after the price increase in March, beginning of April, we lost a little bit of market share, while our competitor didn't follow. And as I mentioned before in doing before they were separated our market share in all the channels, that we have a very good marketing on premise are extremely good market share in on premise, a good market share in mom and pops and a little lower market share in supermarkets. But if you consider these three channels, we got some market shares in [indiscernible] I was very comfortable, Felipe. Felipe go on - I'm very good to brand equity again. Because behind the market share at the end of the day, you have brand equity of your brand, Felipe at least on what material….
Felipe Dubernet: Lucas, yes of course we have seen a decrease on commodity pricing in US dollars, as you mentioned aluminium, grains, sugar. So but what's happening is, is that these effects that is positive for us has been jeopardize, but the highest thing right? Because remember all commodities have traded the US dollar. So if you look at the dollar price in Chile has been more than 900 pesos for US dollar compared to last year what we have in quarter 2, 715 pesos. So its huge devaluation of the currency. So all the commodity reduction has been jeopardized by the US dollar impact. So and this is the reason why Patricio has been very clear on that we need to continue to increase prices. So we are not at the point that the different forces like exchange rates and commodities to be compensated each other. So, again specifically for barley, we need to, to wait until next season because we are dependent on harvest in Chile and Argentina. So it's difficult to report. But that this is this is the reality.
Unidentified Analyst: Perfect. If I may, sorry to squeeze in another question regarding capital allocation, how to think about your CapEx this year, thinking that it can push forward to next year. And then on eventually buybacks and how to think about that, start at these levels?
Felipe Dubernet: Okay. Regarding, I will take the first question regarding operational topics, let's say. So we probably could not read PF would plan for 2022. We'll continue with these. However, we review - we are very careful in reviewing each project, project-by-project basis. Because of course, we need to see for example, mix changes, how the mix will evolve. So we are in a very volatile environment. For example, premium has been decreasing as Patricio said from the top. So premium reached 55%. And then we are moving towards 40%. But in our view premium would remain higher than 2019. So we need to review for example, if we need to invest in our capabilities to do more premium rise et cetera. So - but for the time being in 2022 we keep our our CapEx projection, the one we publish, it will be. For 2023, of course, we are starting our budgeting process in September, and then we will be very carefully reviewing, given different changes in portfolio, market dynamics, consumption, how this CapEx will evolve, but certainly its something that we reviewing very carefully during the last quarter. No, I don't have an answer for your second question regarding [indiscernible] There's nothing to say about that, okay.
Unidentified Analyst: Thank you very much.
Operator: Thank you. And we'll take the next question.
Unidentified Analyst: Good afternoon. [indiscernible] I would like to ask a follow up on the target for 2023. So we're talking about thinking of ‘23 in terms of volume, margins, and EBITDA in a ratio like 2019 or is an average between ‘18 and ‘19. So trying to understand what would be a normalized level of profitability in 2023?
Felipe Dubernet: Thank you. Thank you, Andrea, for your question. If you are thinking in 2020, adjusted by inflation, because when inflation was 2%, you could compare figures in nominal terms. In inflation we're leading today in Chile, we need to adjust figures by inflation. So in 2020, we made 100. We'll make our business close to 100 plus inflation in 2022, but we're putting all our focus on moving that direction, are we going to be able to do this or not? Of course, it's impossible to know, but we are definitely trying to recuperate real currency profitability in 2023. This is our purpose and our goal today.
Unidentified Analyst: Great, thank you. And if I may, I follow up on the CapEX plan for this year, next year. So, from the plan announced in the 20th, how much is flexible, how much you can put, I know you have a lot of liquidity, but maybe you want to reserve some liquidity for next year, thinking a lot of uncertainty about consumption and the recent the recession worldwide. So how much is flexible and you can postpone to the following years when you can have more visibility?
Felipe Dubernet: And yes, I mentioned before we expecting volumes not to increase in 2023. We expect to recuperate profitability by revenue margin type by efficiencies, by volume size, eventually some volume contributed, but there's going to be very small. Consequently, we have enough capacity to cope with the volumes we expect for ‘23 and ‘24, which was not necessarily what we considered when we put the figures on the last 20 F. So we are adjusting our CapEx for 2023. But we cannot - we do not have a figure to share with you, but we're moving in that direction. Nevertheless, I would like to ask Patricio. Of course, we will as I said, we will be renewing the 2020 fiscal figures accordingly. Also prioritizing the CapEx project that, for example, being at a high level of efficiencies, this would be the important. But certainly, there is of course, as you mentioned, a carryover. So, in the during the year, it's more difficult to adjust this year, but certainly for 2023, it will be an adjustment, Andrea.
Unidentified Analyst: Perfect, thank you very much.
Operator: And that does conclude the question answer session. I'll now turn the conference back over to you for any additional or closing remarks.
Patricio Jottar: Thank you very much. As we mentioned before, in the second quarter of 2022, we face a challenging and volatile macroeconomic scenario, which will probably remain in the short term. In order to phase these will focus on two key aspects to recover our profitability, number one, maintain or grow our business scale. Number two, describe supports our main categories and geographies and number three, expenses and cost efficiencies to our Information Program. This is not the first time we have faced such a challenging scenario. But the issue is that with the mentioned strategy, we will be able to overcome it as we have successfully done it in the past. Thank you very much.
Operator: That does conclude today's conference call. We do thank you for your participation. Have an excellent day.